Daniel Wolfe: Good morning and welcome to 180 Degree Capital Corp’s Fourth Quarter 2020 Financial Results Update Call. This is Daniel Wolfe, President and Portfolio Manager of 180 Degree Capital. Kevin Rendino, our Chief Executive Officer and Portfolio Manager, and I would like to welcome you to our call this morning. All participants are currently in a listen-only mode. Following our prepared remarks we will open the line to questions.  I would like to remind participants that this call is being recorded, and that we will be referring to a slide deck that we have posted on our Investor Relations website at ir.180degreecapital.com under financial results. Please turn to Slide 2 that has our safe harbor statement. This presentation may contain statements of a forward-looking nature relating to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995.
Kevin Rendino: Thanks, Daniel, and good morning, everyone. Let's start on Slide 3. We got some really good news to share this morning. First, on the quarter itself, we grew our NAV by 7%, which was similar to Q3. Although online Q3 when our public stock picking indices, this quarter, our public stock picking underperformed the indices. The most important part of where we stand today versus where we stood when we started, back in early 2017 was back then, we had $20 million or $1.92 per share in cash and liquid securities. At year-end, that number was $59.7 million or $5.77. Because our strong start to 2021 -- because of our strong start to 2021, our cash and liquids now stand at over $70 million or $7.02, which happens to be very similar to where our share price is trading. That means, as always, when we do our sum of the parts analysis, the market is valuing our private portfolio at roughly 0. In our minds, that's certainly not the right price. As for the public portfolio, we had strong performance this quarter from Quantum, Alta Group and Potbelly with Maven and Sonim lagging behind. We had a few intra-quarter purchases in sales, Kirkland Group, Perion and Delta Apparel. On the private side, the portfolio increased by $2.6 million led by HALE and ORIG3N. You now know about the SMA that we were managing that we started midyear in 2020. The performance was good, and we were able to generate $2.4 million of carried interest, which has been wired back to us. We did complete that 1 for 3 stock split, and that went relatively smoothly. And as I said, we've gone off to a great start this year and our 24% return for our public portfolio has added $1.33 to our NAV from the $9.28 where we closed that. So we're well into the 10s in terms of where our current book value is. Of course, that's before any private market adjustments up or down and obviously, normal expenses.
Daniel Wolfe: Thank you, Kevin. Please turn to Slide 22. This slide lists our 10 largest legacy privately held holdings by value as of the end of the quarter. For the quarter, our private and portfolio increased in value by $2.6 million or $0.25 per share. The largest increases were ORIG3N, HALE, Black Silicon Holdings. We had slight decreases in value in AgBiome and EchoPixel. In almost every shareholder letter, we state that while we desire to shepherd our existing private portfolio to exits or to explore opportunities to sell these positions at some point in either the companies or the portfolio as a whole, we have the luxury of being able to sell our private holdings when we believe it makes sense for shareholders rather than being forced to do so to survive. Because you haven't seen a monetization in any given quarter, it doesn't mean we haven't been active in attempting to monetize certain holdings of the portfolio. The remaking of our business and the significant cash and securities of publicly traded companies that we have built, means we don't have to sell anything unless we feel it is the right thing to do for shareholders. I can tell you that we have projected numerous bids for the private portfolio from “sharks”, thinking that they can come in and steal the portfolio from us and you as shareholders, that will never happen under our watch. I can't emphasize enough the difference between having to sell and wanting to sell. We do not have to sell anything, given our success in remaking our balance sheet over the last four years, and we won't, unless the price makes sense. Since the start of Turn, our private portfolio, as Kevin mentioned, has reduced NAV by $0.58, while our public investing strategy has increased NAV by $4.42. And I will remind and it's important to note that future results may be materially different than prior results. And I'd also like to say we continue -- we're actually a little tad more optimistic about the opportunities for liquidity in the private portfolio than in prior years, primarily as a result of the growing acceptance of SPAC as its path to public listing. Public listings prior to the late 1990s were often conducted by early-stage companies looking for growth capital and to be able to use their stock as currency. I actually think Intel went public with a market capitalization of $40-some million. From 1990 to 2019, public listings were seen primarily as exit events for early investors. The company needed to be at a late stage of evolution to command $1 billion market capitalizations required to garner the attention of Wall Street banks and investors. SPACs have brought the public market opportunities for private companies back to somewhere in the middle. A lot of the reservations companies have with pursuing IPO listings do not apply to a merger with a SPAC. Pricing negotiations happen before the public announcement rather than after the filing of a registration statement and the significant expense has already been spent and a roadshow then is conducted to develop investor interest. The process can be consummated much more quickly than an IPO and for pretty substantial less upfront cost. In an IPO, company can only talk about prior results during marketing. With a SPAC, the prospective merger candidate can present future projections about the business. All of these attributes combined present a compelling opportunity for private company that was not acceptable to many of their investors or management teams previously. Again, this is why we're a tad bit more optimistic about and liquidity for our private portfolio starting out in 2021. We continue to talk to each of our companies about them, and hopefully, there's some opportunities there, but we'll have to see how it develops. Please turn to Slide 24. As we have noted in previous letters, we've dramatically reduced our cost structure under our new strategy. In 2016, before our funds change in investment focus and management team, our operating expenses, excluding stock-based compensation and interest on outstanding debt, averaged approximately $1.3 million a quarter. For Q4 2020, our operating expenses equaled approximately $645,000, which included an approximately $400,000 reduction in our medical benefit -- or medical retirement benefit accrual. The increase in legal expenses, as you see on the slide, is related to our activist efforts during the quarter, particularly with Maven. Given our persistent performance, the compensation committee approved approximately 638,000 deferred bonuses award in 2019, and that is accrued and included in our reported NAV for Q4 2020. The compensation committee also set aggregate 2020 bonuses at $849,000, $720,000 of which is included in NAV as of December 30, 2020. The remainder will be paid over the next two years of performance in 2020 is persistent at the discretion of the compensation committee. Please turn to Slide 25 and 26. We continue to anticipate the reductions in our operating expenses as a percentage of net assets will be based on growth in our net assets rather than further reductions in our operating expenses. The positive events in Q4 2020 and year-to-date 2021 discussed previously, if they hold throughout the year, quarter and year, we'll continue to help reduce these expense ratios further. We remain committed to treating every dollar of shareholder money with the utmost carrying consideration. As we have always said and continue to repeat, it is so much easier for us to grow NAV when the expense hurdle rate is where today -- where it is today rather than what's historically. I'll now turn the call back over to Kevin.
Kevin Rendino: Thanks, Daniel. Our normal sum of the parts chart is on Slide 26. The market is essentially paying us next to nothing for the $37 million worth of assets we have. We've talked about this at Nauseam. AgBiome in and of itself has a $13 million valuation. And we have royalty payments, which were infinitely more than the nothing that the market is paying for our private assets. You've all heard me be quite cautious on the private side over the years, that's because we don't have controlling stakes and because I don't -- we don't know. And we're always and have been uncertain of the timing of monetization. But like Daniel said, I can sit here today, I'm more confident we have a chance of monetization this year than I would have said last year. And that's because of the progress many of our holdings have made in their businesses and because of the advent and the proliferation of SPACs. This is not a promise. But as most of you know, we carefully choose our words when we're talking to you. I just think there's a better chance of something happening this year than I would have said it was a possibility in 2020. Again, that's not a promise, but we're, for sure, more optimistic on the potential for monetizations of our private portfolio. Outside of that, as I said earlier, when I first got here, we put a strategy in place which we thought would be good for the public shareholders. But we didn't know how it was going to play out. And I'm really delighted that now we've got some scale in our balance sheet, and we've got the ability to take our share price from where it is to levels much greater because we started at a higher price. So as I said earlier, it's much harder to take $20 million in assets and turn them into $73 million than it is taking $70 million of assets and turning it into $150 million, just math. And that, as I said, can get us to a $15 stock. And if we can ever get ourselves to become a $300 million a year business, which is certainly possible over the next five or seven years, and now you're pushing towards the $30 stock. So when I first got here, I thought it was a turnaround. I didn't know if we could figure it out. We did. We have. We built the real business. We built some scale. And I'm more excited about the next five years than I have been about the last five years, that's for sure. So we'll stop there. Daniel, maybe you want to open it up and we can take some questions?
A - Daniel Wolfe: Absolutely.  Our first question comes from Brandon Goyette. Brandon, please go ahead.
Unidentified Analyst : Well, obviously, I think you know my question, Kevin, it's going to be related to private companies and discussions with SPAC. Since you're not a controlling shareholder, can you at least confirm if any, of your knowledge, are in discussions, either IPO or SPAC trying to -- obviously, not specific names, but a number or yes or no?
Kevin Rendino: Yes. So we're not going to do that, as you know. But if you just listen to what I just said, you can make an inference. So this is a -- and we did our own sp. We're going to promote our own SPAC that we're really excited about, which we think is going to be a huge win for our shareholders. But you can imagine that there is a lot of activity taking place with private companies and the proliferation of SPACs, and we own a bunch of private companies. So hopefully, many -- some of them are having those conversations and how it plays out will remain to be seen. But you certainly -- you would expect that, that would be the case, right, Brandon. So I think that's how I wanted to answer the question.
Unidentified Analyst : I was going to say considering Nanos has filed for IPO back in 2001-2002, I think a 20-year weight is about time?
Kevin Rendino: Tell me about it. Listen, I could tell you what we've told our companies. I mean that's not providing any information that the companies wouldn't want us to tell you. But we've been very aggressive in pointing many of these companies into the direction that they should be going with all these SPACs being formed, and we'll continue to do so. Unfortunately, sometimes, you don't have a controlling stake. And what you don't want to do in the private world is make enemies because when they raise capital, they can cream you down if they don't like you. And we're not putting new money into the private. So you have to sort of walk a fine line between trying to be collaborative and collegial and helpful and making outright demands like we can do when we write a letter to the Board of Enzo. A few weeks ago, where we can be pretty direct and harsh. You can't really do that in the private world. But yes, we've -- of course, we've tried to point them in the right direction.
Daniel Wolfe: And Brandon, just adding to that, the -- it's a lot about education, where the things that I said in remarks, there is -- a lot of the -- even the venture capital world and especially these early stage companies, they just really don't know a lot about that path to market. And so we've been spending a fair amount of time on education of opportunities to hopefully open up the possibility that some of those could go. But I think the other part that is crucial, and it goes to what Kevin just said is, we can't force them. We can't -- but at the end of the day, it has to be a path that is acceptable to the other investors. And up until recently, SPACs were never seen as a viable alternative path to market. It was, historically, you have to have JPMorgan, you've had firm as the lead on your S1 and that's the only way you can go public. And historically, actually, a company that was being corded to the TSX and there were a bunch of investors that were interested in the lead investor in the company said, we do not put companies on the TSX," and the company ended up going bankrupt. And so now we have a situation where at least we're not the only ones evangelizing that this is an acceptable path to potential capital as well as liquidity for investors. And so we'll see where it goes, but we're glad that it is an alternative that's available for the points that you raised on a lot of these companies have been in the private and existence for a very long time.
Unidentified Analyst : Just to your point as well is that I think that once investors and the general investing public sees some upside, unrealized upside in that portfolio, you'll start to trade not only go from a discount to NAV to a premium, like in 2002 during the Nanotech bubble, it went from a 30%, 40% discount to NAV to 600% positive.
Kevin Rendino: Well, I could tell you, there's a couple of private companies that if they were public, the market would be super excited about. And so -- and maybe that could happen here again. Like I said, we've been so used to losing here in the predecessor company that -- when you first take over a business that's failing, it takes a long time to reorient itself towards what winning feels like again. And that's just the truth. I've seen this a thousand times in the investments that we make. And this was a failing enterprise where losing was just the norm. And now you know what, now winning is becoming more prevalent. And that's why I'm just more optimistic. We've really shaken the past and put ourselves in a position where we're able to promote us back. I mean, you couldn't do that two years ago. So I am more optimistic given what we've been able to accomplish over the last four years than I have been. And now the private portfolio, which was an anchor and a headwind is now an option, and it's ridiculous that it's -- literally, our share price is trading below cash and liquid securities. It's absurd. It's a free option, and many of these businesses are really well well run. So as you know, the market doesn't figure it out in the next day or so, then I'll go marching back into the market buying back stock because I think over time, I'm not joking, my goal is to get the share price to $15 to $20. I mean, that's where we're at here. So we'll see where it goes. But if we can get back to those Nanocap days that'd be fun, too.
Daniel Wolfe: Thanks, Brandon. Bob, go ahead.
Unidentified Analyst : Kevin, could you on Page 1 of the handout, value creation through constructive activism. Could you talk a little bit about where you are on that effort? Are you seeing discernible changes on the part of companies? Are they more receptive? And then maybe elaborate on the types of things that you would obviously advise, control whatever in terms of the company and its needs and trying to direct them in a positive direction?
Kevin Rendino: So that is our -- I mean, that's who we are. That's what we do. That's our MO around here. We start with the fact that we're I'm a value manager. That's the way we do. We focus on companies that trade at 2/3 of the market on either price to earnings or price to cash flow, above-average dividend yields, half the market on a price-to-book value ratio. So price matters from the start. If a stock is not cheap, it's not going to get into the portfolio. But just because it is, doesn't mean it is going to get into the portfolio. The activism is many of the companies that we're focused on in the microcap world, don't know -- don't know how to be public.  There are either companies that came private -- that came public by their founders and Board of Directors that was in the founder's pockets. They don't do the right things for shareholders. They don't spend money properly. They don't know what ROIC is. And they need to know that if they're in the public markets, they're supposed to be taken care of all shareholders, not just themselves. And so for us, it's making sure that the company has proper corporate governance, which means it's diverse in both gender and race that have the appropriate skill sets so if it's an information technology company, you better be sure that many of the Board members have technology experience in the business that, that company is in we want to make sure that the CEO is -- certainly is running the business for shareholders and not lining its own pockets. So we always look at compensation and the rest, and make sure the compensation is aligned properly with how or would look at it. And will look at it and the rest. So we certainly look at that. And look, many of these companies may have have 3 businesses, 2 of which are good and 1 of which is bad and sometimes they need the impetus of pressure for us to convince them to sell the bad business. As you -- we sit on boards, I don't know if you do, but it's amazing how stagnant boards become. Nobody wants to make a decision. Everyone who wants to go to a board meeting, have the board meeting to be over. There just becomes just a lack of fluidity to companies progress, especially ones that have been around. And even ones like ours, which we're failing. And sometimes, these companies don't know how to fix it. They are stuck. So every company is different. Activism is not the same for every single company. Sometime -- and by the way, we don't want to go on to Board. So it's not really our goal. We'll run a proxy contest at the end of the day, if we have to, and we won't invest in a company if we don't think we could successfully run a proxy comps test, but going on Board is time-consuming. We actually don't want to do that. We just want to help companies understand how to get their businesses from point A to point B, just like we took turn from where it was to where it is. And that's just providing sort of 30 years of experience that I have and the experience that Daniel has in helping these companies solve for that. Sometimes, it's just -- you need to change your IR. Sometimes it's -- you got to fire your CFO and replace him. Sometimes it's the Board having to move on the CEO. It could be a lot of different things. It could be asset movements. So it could be stops spending 30% of your revenues on R&D because you're not getting a return on it. So it's all different. It's all meant to be collaborative and collegial. And most of the time it is and some of the time, it's not. I will say one last thing on it. It is a -- and I know this because I worked at BlackRock and Merrell, it matters. So before at BlackRock, we could quietly advise companies, but we can never write a public letter like we wrote blasting the Board of Directors at Enzo. You just didn't do that. And we were told when I started, well, if you don't like the way a company is being run and vote with your feet. Well, that's not what we do here because activism can improve returns and is a tool that we have, which can enhance the returns for our shareholders in any one investment. It's a -- and it's a really good tool to use. If you use it properly, you use it professionally and you're efficient about how you use it. Thanks.
Daniel Wolfe: Thanks, Bob. Adam, go ahead.
Unidentified Analyst: I want to focus on two topics. One is AgBiome in the private portfolio, and the second is the new business pipeline as it relates to third-party assets, either through the SMA model or other vehicles. On AgBiome, if we look at Slide 22 from the presentation this quarter, which is always very helpful. At the market close on Friday, on the public portfolio, it was just under 12% of your total assets. And the rest of the private portfolio, while some may be promising and a robust new issue environment, it's pretty small potatoes at an individual position level, especially because I think you have the petro milestone rights carried at a very conservative carrying value. So on AgBiome, there's been a new high-profile Chairman added, the former longtime CEO of in Germany. Based on what I can see publicly, and obviously, you see a lot more than I do, it seems like the company is progressing very well with its commercialization with its first couple of products. Obviously, the new issue market is very robust, both for traditional IPOs and as you guys have emphasized their SPACs, so is there anything you can tell us about what the path may look like this year for AgBiome, either in terms of kind of operational progress milestones and/or potential liquidity events? Then I'd like to follow-up on the third party assets.
Kevin Rendino: Go ahead, Daniel.
Daniel Wolfe: Yes. So I can't go into too many specifics, but what I can say is that the company did receive EPA authorization -- state-level EPA authorization for its first product throughout, I believe, it's all of the contiguous United States, which is the main market for the hawler products. And so that's really exciting, so we can start seeing that hopefully ramp into 2021 as their first product. They've made continuously good progress with their partnerships as well. And I think adding the former CEO of Bayer as the Chairman is just another piece of the puzzle that I think sets the company up for potential good opportunities coming forward. And I think, look, as we said in our remarks and an answer to earlier question, we'll talk until where and speak to were blue in the face to these companies about the opportunities that the public markets present, not just for liquidity for their shareholders, it really comes from more effective that it provides a new level -- a different level of currency for the company to be able to build its business. And AgBiome is clearly getting to that point of where it's a growth capital opportunity. And so we think there are opportunities that there could -- for the company in the public market. It's now up to the company to make that determination and decide what it wants to do. We're not on the Board. And we're obviously not the largest shareholder. So we don't have that level of control. But we -- you can definitely take the heart that we will -- we are -- we continue to talk to AgBiome as well as all of our other companies about opportunities that we see. And we're hopeful that some or more of them will take advantage of that.
Unidentified Analyst: No, that's fair. Look, they have a lot of larger late-stage venture blue-chip investors in that company, obviously, and they're very sophisticated as to from ventures to others. So presumably, those larger shareholders are having those fairly active conversations with management as well. Hopefully, it turns into a bit of a concavity according them. Turning to the third-party assets and SMAs or other vehicles. Can you just update us there? I mean, obviously, your first larger SMA has done great. How are things looking as we're getting a little bit more traction and getting past the pandemic in terms of pitching the excellent 3-year track record for new third-party assets?
Kevin Rendino: So a couple of things on that front. I think a couple of things we learned last year. One, I talk about investors being incredibly risk-averse in my shareholder letter. Well, fund-to-fund people are also, especially if they don't know who you are, they literally need to be babysat and watched, and they need to watch you over time. So whatever on that, you know the way that works. By the time they decide to make an investment in you, it's probably over. So there's some of that stagnation of while this is a new thing for us, and I'm just in the middle of a pandemic, I can't focus on anything new. I just want to focus on the fund managers that we're using. So the other part of that is a lot of these fund-to-fund companies, they need to -- the asset managers themselves, they need to actually check the box of coming to see you. And there isn't a lot of coming to see anybody last year. So you can't go to your Chief Investment Officer and say, "I'm recommending this new name," and they're like, well, tell me about the facility and how many people they haven't been here. So hopefully, that will loosen up to some extent, and it will. I will say the following: we're going to go down a different road this year. It's a little soon to talk about it. Hopefully, it will be something that we can talk about in the next quarter or so. But getting on financial service companies platforms, like at Merrill, for example, I was on Morgan Stanley's platform; at BlackRock, you're on everybody's platform, that's hard to do. It takes three years usually to get on someone's platform. And that was even for the largest funds that we used to run, but we had time back then, so we did it. I don't necessarily want to be on Smith Barney's platform or Morgan's platform, they're just never going to give us the assets that we desire, and it's going to be too painful and too time-consuming. And just trust me on this one, I literally, I'll pull the rest of my hair out trying to chase a few dollars. But what we think we are trying to do is get on a smaller company's financial platform that actually wants us to be on the platform because they do what we do. And so hopefully, we'll have some news on that. In the meantime, we'll continue to do what we're doing on behalf of the SMA that we have. They're happy. We're thrilled. I'd love to have more capital on our own balance sheet. That would be job one, if we can figure out how to do that, as you know. And as Daniel said, we brought back $2.4 million worth of carry. And when you think about that, that basically offset most of the normal operating expenses of our business before bonus pool is paid. We have roughly $3 million worth of -- you have to be public company expenses and what the asset that we have almost brought back the entirety of that burn. So we're happy with what we have, and we're not going to -- if people don't want to invest in us, I don't want them here. And I only want people that are like-minded to us in terms of their investment in us and really get to know them. But clearly, we think we've done a good job in and are deserving of some outside capital, and we'll see how that progresses this year.
Daniel Wolfe: Please, go ahead.
Unidentified Analyst: Kevin, I got two questions for you guys. One is, what do you guys think about the current environment as far as the landscape in the micro-cap space? I know you noted in your great letter, by the way, thank you for always writing great letters. The Microcap Index has obviously gone up. Obviously, that's not a lot of the constituents or not what you do. But how do you feel about it? And number two was, you guys have a substantial equity positions now in cash and marketables, do you guys ever lend your shares to get interest income or to those are my questions.
Kevin Rendino: Look, I'm not really -- big picture, the backdrop for a healthy market is here. We're in the middle of a recovery. We think the market will recover. We do think the vaccine was the -- is the primary focus in getting the company -- the economy from where we were to where we're going. So I do think the backdrop is fairly healthy here over the next two to three years. And companies are not the ones that we own and not super expensive. No, that's not I'm not talking about Gamestop here. I'm talking about the ones that we own. But who can be -- who can possibly be comfortable when the Russell Microcap was up 30% last quarter and it was up 20% this quarter? I mean that's a huge move. So do I think we can have a pullback? Yes. 100%. Do I think the pullback is long in the tooth, it should have happened already? I do. So on the margin, we've been selling some of our positions. We've been probably more net sellers than buyers for sure in 2021 as we've seen this melt up. The indiscriminate selling or the indiscriminate buying in any period creates the opportunities, and it certainly created the opportunities in March of last year to buy and this 1 has created an opportunity to sell as well. Now unfortunately, I don't own Gamestop, so you have the opportunity to sell at $485 a share, but there are names that we own that have performed quite well, and we've been using this environment to sell them and wait for a rainy day and look for better entry prices. But we don't -- look, I'm never going to perform properly in a market that's indiscriminate about what's working. And that's what the fourth quarter was, and that's what the early part of this quarter has been. That's not my market. My market is rewarding companies that have actual real fundamental improvements in their business relative to everything else. And that's why I stuck that chart in there about the health care things, the top 10 health care names, they were up 700% and traded 100 times revenue, like if that's going to be the market that we live in, that's -- I'm going to be -- we're going to be left by the way -- by the doorstep here. We're just not going to keep up with the market, but I don't think that's sustainable because -- and because I do think it's ridiculous. At the end of the day, the price that you pay for the business you're buying and the price you sell a company for matter. I mean I don't know what anybody tells you, valuation matters. It always matters. It may not matter today, but it will marry over a cycle, for sure. The second part was -- what was the second part?
Unidentified Analyst: You guys lend your shares?
Kevin Rendino: We would somebody want to buy them. And some want them. It's not like we have a -- we haven't. There's not a lot of shorting of the names that we own. They're real companies. And -- but we would, for sure. I mean that was a business that at Merrill and BlackRock that was a big business for us, actually. We would lend that all our shares, but that it was IBM, GE and the rest. And I mean -- certainly, if somebody wants to borrow our shares of Sonim, or Plantronics or whatever, we'd be more than happy to clip a coupon by lending them out. There's no reason not to.
Daniel Wolfe: Please go ahead. just -- your line is open.
Unidentified Analyst: Hello? Kevin?
Kevin Rendino: Yes.
Unidentified Analyst: Yes. This is  I wanted to compliment you on the great job you're doing with the company. You really allowed the company to live up to its name. It really has been 180 turn in the right direction, that's for sure. So I'm very happy about things there. I did have a question regarding -- on December 21, you put out a press release that 180 Degree plans to begin a share repurchase under a $2.5 million buyback program. And then two days later, on the 23, you and several directors bought over 100,000 shares personally at about $1.90 a share. So last night, I read your shareholder letter, which was a great letter. But in the letter, I didn't see any mention of the company buying back stock. So could you explain that?
Kevin Rendino: So two things. One, when -- if you remember the letter I sent about why we were doing the one for three stock split, it was -- we were doing it because many shareholders, including our largest, had told us that the stock below $5 is almost uninvestable for their clients. And they don't -- they won't buy stocks. Some of them won't buy stocks less than $3, some won't buy stocks less than $5. And let's make it more investable to the broad universe, and you should think about a reverse split solely for that reason. The second reason also is because for a company with 70 -- $60 million market cap, we have 30 million shares outstanding. And as we looked at the landscape, that was just too many relative to our competition. So when we did the one for three reverse, as you know, when you do a three for one, everyone thinks that's great. When you do a one for three, everyone thinks that's stupid. They think it's -- one for three -- reverse stock splits are done from unhealthy companies. Companies that maybe are going to get delisted. And so they have to get the share price higher and so they do the fake -- reverse split to get their share price above a light -- above a certain number so that they can stay listed on the exchanges. Well, that's not why we were doing it. But I also know how companies that have had reverse stock splits trade. And they trade poorly many times. Because of this notion that lousy companies are doing them. So we wanted to make sure that if we were doing the one for three for the right reasons, if investors were going to treat us poorly because they were misinterpreting why we were doing that, and we're going to sell our stock at any price because, I mean, I know this sounds stupid, but oh, my God, Turn is $6, it was just $2, I'm going to sell it, like literally, that happens all the time. And if there is any level of dislocation in our shares, we want to be there to buy them. And so we put in a plan because we were going into our quiet period because we were ending the quarter to buy our stock prices, and we gave them limits at this price by x amount at that price by this amount at a lower price by this amount. Our stock price traded better than we would have thought before the -- after the reverse split and never got to any of our prices. And so no, we did not buy it. We certainly have a program in place to buy it. But the share price never got to the levels that we set. Does that answer your question?
Unidentified Analyst: Yes. And I just want to make the point, like always -- Warren Buffett always says you would buy back stock when it's 120% of book value. And here, we had a stock that was 30% below book value. And even today, I think it's 25% below book value. So I always thought buying stock below book value because it could be used later at higher prices as a currency for acquisitions or for fundraising and a secondary offering, there's a lot of good reasons to do a buyback. So I just hope that it's being considered. That's all.
Kevin Rendino: Well, so here's the thing on that, and I agree with that. And I -- told you, and value manager. So I'm aligned with Warren on share repurchase at the right price. But we -- this is permanent capital that we're managing. This is permanent capital. And we were able to achieve a 265% return for our investors on the capital that we started with back four years ago. People kill for permanent capital. If I give -- we give it away, what's the -- so what's going to happen? First of all, you can't buy enough for it to be materially accretive. I'd have to buy back 20% to 30% of the float, which I can do, by the way, if that's what everyone wants me to do. But when you're doing that, you're also signing away your future because my future is taking the capital that we have and turning the $70 million into $150 million, and that's how we're going to get the stock from $7 to $15. Not from buying back $1 million or $2 million worth of equity. It's not going to matter, really isn't. It's certainly there to provide stability, but it's not going to provide long-term value for our shareholders. And if you're going to give back permanent capital, you better be doing it for a reason because that's capital, you never get back ever again. And if you remember a couple of years ago, it was like this in March of last year, when everyone was selling we get to sit here and buy whatever it is that we want to buy because nobody can take our cash. And that creates the opportunities that we're able to achieve during periods of dislocation, like we said. So March of 2020, some people were selling because they had to. They were getting redemptions. We were able to buy. The same at the end of 2018 and the fourth quarter, it was a disaster quarter. Was it '19? I forgot -- '18. Everyone was redeeming, and we were sitting there with a basket buying X, Y and Z, and it led to a great year of performance the following year. So I'm with you on share repurchase. But for a closed end fund, that this is what our business is, it's a little different.
Unidentified Analyst: Right. Okay.
Kevin Rendino: But that has not stopped the management team from buying it? And that's after tax dollars with our own money. That's not a stock that's given to us. We can't pay people in stock around here. So any purchases that Daniel makes or I make or Rob or our Board makes is with money out of our pockets, not money that were gifted.
Daniel Wolfe: And the queue is now -- is empty. I think we're ready to end the call.
Kevin Rendino: Well, thanks, everyone. I appreciate your consideration of Turn as an investment, and we really have enjoyed talking to all of you. You know where to find us. We're here because you own the company, and if you want to talk about Turn at any given point in time, email us, and we'll be more than happy to get on the phone with you. I wish you the best of luck in 2021, and hopefully, this pandemic will be behind us at some point this year, and we can get back to a normal environment. And boy, that would feel great for all of us. Thank you so much for your time today and happy investing.
Daniel Wolfe: Thank you, everyone. You can now disconnect.